Operator: Good morning, and welcome to Air Products & Chemicals Third Quarter Earnings Release Conference Call. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Director of Investor Relations. Please go ahead.
Simon R. Moore - Director-Investor Relations: Thank you, Dana. Good morning, everyone. Welcome to Air Products' third quarter 2015 earnings results teleconference. This is Simon Moore, Director of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our CFO; and our senior business leaders. After our comments, we will be pleased to take your questions. Please limit yourself to one question and a follow-up. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure on page 2 of the slides and at the end of today's earnings release. Now, I'm pleased to turn the call over to Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you, Simon, and good morning to everyone. Thank you for taking time from your busy schedule to be on our call today. We do appreciate your interest in our company. First, let me introduce the members of our team who are on the call today. In addition to Simon, I have Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer; Mr. Corning Painter, Air Products' Executive Vice President responsible for Industrial Gases; and Mr. Guillermo Novo, Air Products' Executive Vice President in charge of Material Technologies. All of us will be participating in the call and in answering your questions. I am very pleased to report that Air Products team delivered great results in the third quarter of our fiscal year 2015. Therefore, before I go any further, I want to thank all of the talented, dedicated and committed employees of Air Products for doing such a great job. What we are presenting you today is the result of our 20,000 employees coming to work every day, committed to serving our customers and improving every aspect of our performance. Our people are the force behind our progress. I certainly consider it an honor and a privilege to be part of this winning team. Now, please turn to slide number 3. We always start our internal and external presentations with a discussion of our safety performance. Year-to-date, we improved our lost time injury rate by 21% and recordable injury rate by 17%. As we have said before, excellence in safety requires focus, discipline, process orientation and execution. These same characteristics are required for excellence in business performance, too. The improvement in our safety results, which is our number one priority, is encouraging, but our ultimate goal is zero accidents and zero incidents. Now, please turn to slide number 4. I would like to continue to remind everybody that our goal has always been, and will continue to be, to become the safest and most profitable industrial gas company in the world, providing excellent service to our customers. This is not an aspirational goal. It is not a goal that we just dream about. It is real and it is the target of the day-to-day activities of all of our 20,000 people who are determined to get us there. Last year, we were number three. Now, we are number two, and we are focused to becoming number one. Now, please turn to slide number 5, our overall management philosophy. Some of you have seen this slide before, but it is important to emphasize that we believe cash is king, and the true measures of our performance is the price of our stock in the long-term. We are very focused on proper allocation of capital. Air Products generates a significant amount of cash. We, the management of the company, fully understand that the proper and sensible allocation of that cash is a clear element of value creation for our shareholders. And as you have seen from our actions in the last year, we have moved toward a decent role organization, which has had the benefit of creating accountability and reducing our costs. Now, please turn to slide number 6, our five-point strategic plan that we announced in September of 2014. We are diligently and consistently executing this plan. And you can certainly see the impact on our results, which clearly show the improvement in profit margins. When we announced our strategy, we said that the proper execution of this plan will lead to an improvement in our margins of 600 basis points or about $600 million. Half of that or about $300 million was to come from reducing our overhead costs enabled by the significant reorganization of the company. We are making great progress and expect to deliver about $150 million of these benefits into our P&L this year. We expect to be at the full annual rate of $300 million of saving by quarter two of fiscal year 2016. So, you will see almost the full $300 million impact in our 2016 results. The other half or another $300 million will be savings in distribution, operations, electrical usage and other field operational costs. Currently, we expect to get all of these savings in the next four years. Now, please turn to slide number 7. Scott will take you through the details, but I want to highlight a few key points. Our EBITDA profit margin is up 430 basis points versus last year. We are now generating free cash flow, and our earning per share is up 13% versus last year despite the weak economy across the globe and $0.11 negative impact from currency translation. In addition, our return on capital employed now stands at 10.9%, which is an improvement of 130 basis points versus last year. As Scott will explain, we improved our margins in all of our businesses and specifically showed significant improvement in our core Industrial Gases business. I am encouraged by the results and the progress we have made in the last years. Now, please turn to slide number 8, where you will see our steady progress in improving our EBITDA margin. We do appreciate that we have more work to do to become the most profitable industrial gas company in the world. But as you can see, we are on our way. Air Products is moving forward with the full force and support of all of our 20,000 people. I am very proud of the team and very optimistic about our future. Before I turn it over to Scott, I would like to comment on the appointment of Mr. Casey Cogut, who will be joining the board of Air Products. Mr. Cogut is one of the most prominent and well-known corporate lawyers in America. He has extensive experience, has been involved in some of the largest mergers and acquisition transactions in the last 30 years, and has been a sought-after adviser to the board of many companies. I am very pleased to welcome him to the Air Products board. He brings with him, a wealth of knowledge and experience that we currently do not have on our board. We have issued a separate press release about his appointment and his background. Now, I would like to turn the call over to Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer, to go through the details. Then, I will come back after comments from Corning, Guillermo, and Simon to make some closing remarks, and then we will be pleased to answer your questions. Scott?
Michael Scott Crocco - Senior Vice President and Chief Financial Officer: Thank you very much, Seifi. Now, please turn to slide 9 for a more detailed review of our Q3 results. Sales of $2.5 billion decreased 6% as strong underlying growth of 4% was more than offset by an unfavorable currency impact of 6% and a lower energy pass-through impact of 4%. Volumes increased 3%. In Gases-Asia, volume growth was driven primarily by new plants in China. Materials Technologies, again, saw solid growth driven by our Electronics Materials businesses, and our LNG business posted another strong quarter. Pricing was 1% higher, driven by price increases in Gases-Americas and Gases-Europe, and both favorable price and mix in Materials Technologies. We delivered significant operating leverage again this quarter as EBITDA improved 9% and operating income improved 17% despite the lower sales. Versus prior year, EBITDA margin improved 430 basis points to 30.7%, while our operating margin improved 380 basis points to 19.5%. We saw improvement across all our regional Industrial Gases segments and in Materials Technologies. Lower energy pass-through only contributed about 50 basis points. The rest of the operating margin improvement of about 330 basis points was well balanced, resulting from higher volumes, higher prices and lower costs. Higher volumes and better cost performance contributed to our sequential margin improvement. This quarter is a new record for the highest quarterly operating margin in over 25 years. Versus prior year, net income increased 14%, earnings per share grew by 13%, and we continue to improve our return on capital employed, which increased by 130 basis points to 10.9%. Now, please turn to slide number 10. You've heard Seifi and I talk about our focus on cash flow and that we do not want to borrow money to pay dividends. As you can see, distributable cash flow increased again this quarter, and free cash flow was up $87 million as we generated higher EBITDA and spent less on both growth capital and maintenance capital. We are focused on optimizing maintenance capital, spending the right amount at the right time and properly supporting the base business to ensure long-term success. These improvements were partially offset by an increase in cash, taxes and dividends. From a timing perspective, it is not unusual for items to move around quarter-to-quarter, particularly maintenance capital and cash taxes. Turning to slide 11, you can see an overview of this quarter's performance in terms of earnings per share. Before I comment on our Q3 operating performance, I'd like to spend a moment on the non-GAAP items that total $0.18 per share or $60 million pre-tax, all related to our restructuring actions. This includes $24 million for position eliminations and pension settlements, and $36 million for asset actions primarily related to product line exits as we continue to focus on our core business. We expect to see restructuring cost and pension settlement cost in fiscal Q4 as we continue to simplify the organization and reduce cost. Excluding these items, our Q3 continuing operations EPS of $1.65 increased $0.19 or 13% versus last year, despite the significant currency headwinds. Higher volumes increased EPS by $0.13 per share. Pricing, energy and raw materials taken together contributed $0.11. Net cost performance was $0.11 favorable as the benefits from our cost reduction actions more than overcame a $0.10 headwind from higher incentive compensation. As a result of our improved performance expectations for the full year, we increased our incentive compensation accrual in the quarter. In total, our cost reduction actions delivered $0.18 per share of benefit. These benefits consist of lower personnel costs, as well as actions enabled by our new, more disciplined organization. These actions include reducing contractors, consultants, travel and other discretionary spending. Unfavorable currency translation of $0.11 – I'm sorry, unfavorable currency translation was $0.11 as almost currencies weakened against the dollar. As a reminder, our currency exposure is primarily translational as the vast majority of our products are made and sold in the same currency. Interest expense was $0.01 lower. Taxes and non-controlling interest were both $0.02 unfavorable. Our tax rate of about 25% increased 1%. For the full year, we still expect our tax rate to be about 24.5%. Non-controlling interest was higher this year due to the increased value of the minority position in Indura. And finally, higher shares outstanding reduced earnings per share by $0.02. Before I turn the call over to Corning, I'd like to discuss the transaction we just completed last week. We purchased all the outstanding shares of our largest minority partner in Indura, which is one of our industrial gas businesses in Latin America. Following this transaction, we now own about 98% of Indura. The valuation was agreed to at the time of the initial purchase in 2012 and will be a use of cash of $278 million in Q4. Because we previously owned a majority of Indura and we're already consolidating results, there will be no impact to reported sales, EBITDA or operating income. But as we now own a larger portion, there will be a smaller reduction from non-controlling interest that should improve earnings per share by about $0.02 to $0.03 per year beginning in Q4. We have used commercial paper to fund this purchase. Now, to begin the review of our business segment results, I'll turn the call over to Corning.
Corning F. Painter - Executive Vice President Industrial Gases: Thanks, Scott. The Industrial Gas team continues to improve our business by executing our five-point plan. For the three regional Industrial Gas segments in total, EBITDA margins were up over 500 basis points versus last year. And each of these three segments reported the highest margins in the 11 quarters that we have provided restated financials for. The strong performance was delivered in an uncertain economic environment with modest manufacturing growth and profit headwinds from currency, lower energy prices and higher incentive compensation. On a constant currency basis, operating income for the three segments combined was up 17%. We delivered these results by focusing on what we control. First, reducing overhead costs by restructuring to our new regional organization. Next, under that organization, uncovering issues, embracing the red as we say, and tackling them to unlock operational productivity with a no excuses attitude. This has been an eventful year at Air Products. And I would like to thank the team for grabbing the opportunity we have been given and running with it. The results speak for themselves. With that, please turn to slide 12 for a review of our Gases-Americas results. We again delivered strong results this quarter as significant cost improvements translated into very strong margin growth. Sales of $898 million were down 16% versus last year as the pass-through of lower energy prices reduced sales by 13%. The price of natural gas in the Houston Ship Channel was down over 40%. As a reminder, lower natural gas prices have a significant negative effect on reported revenues, a modest negative impact on profits, and a positive impact on margins. Currency, primarily the Chilean peso, Brazilian real and the Canadian dollar, reduced our sales by 3%. However, underlying sales were flat as higher pricing of 1% offset 1% lower volumes. North America liquid oxygen and nitrogen volumes were up mid-single digit, and we did not see any drop-off through the quarter. HyCO volumes were down slightly, but within typical customer demand fluctuation as our refinery customers continue to operate at high levels. Helium demand remained off. On-site oxygen demand from the steel market was lower. And we will have a few quarters of reduced wholesale oxygen sales until that is replaced by retail signing. We also saw lower Latin American demand, particularly in Brazil. Pricing was up 1% versus last year despite reductions in some of the formula-based contracts for liquid products. Operating income of $207 million was up 9%, and EBITDA of $328 million was up 6% as lower costs and positive pricing more than offset profit headwinds from currency, higher incentive compensation and lower energy pass-through. The lower costs were primarily driven by our restructuring actions, lower planned maintenance outages versus last year, and other productivity actions. Operating margin of 23% was up 520 basis points, with about 200 basis points from lower costs, 100 basis points from pricing and 200 from lower energy pass-through. EBITDA margin of 36.5% was up 740 basis points. Sequentially, profits were also up as volume, price and costs were all positive. And finally, as Scott mentioned, we are excited about the significant increase in our ownership of Indura to Latin American Industrial Gases business. And we're looking forward to more fully implementing our five-point plan and driving further business improvement. Now, please turn to slide 13. In the Europe, Middle East and Africa regional business, we saw the benefit of the cost restructuring actions as both EBITDA and operating margins were up over 300 basis points. Versus last year, sales of $455 million were reduced by 16% due to currency, primarily the euro, the British pound and the Polish zloty. Underlying sales were up 2%, with volumes up 1% and pricing up 1%. We saw positive merchant volumes in the UK-Ireland, mixed in Southern Europe, and weakness in Northern and Central Europe. We have seen some negative volume impact in our Rotterdam hydrogen pipeline in part due to transportation fuel imports from the U.S. negatively impacting European refinery operation. We're pleased that our team improved pricing by 1% in this weak economic environment with increases across both packaged gases and liquid/bulk. Sequentially, volumes were up 2%, driven primarily by better LOX/LIN volumes. Versus last year, reported operating income was up slightly as the positive impact from our restructuring actions overcame the significant currency headwind. On a constant currency basis, operating income was up almost 20%. Versus last quarter, EBITDA was up 16% and operating income was up 23% primarily on significantly improved costs, driven by the benefit from the cost reduction and productivity actions. Please turn to slide 14. Gases-Asia delivered another strong quarter, with new plants driving both volume and profit growth. In addition, cost reduction actions helped to increase EBITDA by 12% and operating income by 20%. Sales were up 14% to $418 million, driven by volumes, up 11% primarily from the new plant. There has been some recent excitement in the Chinese markets. I would like to remind you that the majority of our business in China is protected by secure take-or-pay terms. And with the large plants coming on stream, this proportion of our business is only growing. For our most recent project, for Zhengyuan in Hebei, which came on in – stream in early Q3. In addition to having take-or-pay terms, we also have secure energy pass-through terms in our contracts because the customer supplies the energy, in most cases, for these large plants. Occasionally, we see swings in the energy pass-through around customer startups. This has no impact on profit, but it can impact sales. Most importantly, as I have said before, customers are executing their projects, operating their gasifiers, taking oxygen, and we are getting paid. Overall merchant volumes were up low to mid single digits across Asia. Our China retail LOX/LIN business was up mid single-digits, while overall China LOX/LIN was down as we focus on increasing our retail business while reducing wholesale volumes. We still see end market demand growth in China, but certainly, at a slower rate and with more uncertainty than a few years ago. Sequentially, volumes were up 5% with merchant volumes up significantly following the Lunar New Year holiday. Pricing was down 2% as overcapacity in China continues to pressure liquid oxygen, nitrogen and argon pricing. Air Products has no new China liquid capacity to bring on-stream, however, others do. Operating income of $101 million was up 20%, operating margin was up 130 basis points, and EBITDA was up 12% with new plant on-streams, restructuring and productivity programs more than overcoming higher incentive compensation and pricing. Sequential profits were up, primarily due to the acceleration of the cost savings from our restructuring actions and improved merchant volumes. We've talked a lot about driving improvement in the existing business and executing our projects in our backlog. We're also very excited to have won a major contract to supply bulk gases to a new Giga Fab Campus in South Korea. This is an example of the Industrial Gases team continuing Air Products' leadership in the semiconductor industry. I will close with a few words on the global gases segment. You'll recall that this segment includes most of our Air Separation Unit sale of equipment business, as well as cost associated with the Industrial Gases business which are not region-specific. Our overall sales were flat with last year, although the business mix was different, with lower small equipment sales to the oil and gas market and higher ASU sale. This business mix difference was a profit headwind. Also, last quarter, we had more favorable contract actions than this quarter. We did see lower cost from the restructuring actions that we are taking Now, I will turn the call over to Guillermo for a review of our Materials Technologies segment results.
Guillermo Novo - Executive Vice President Materials Technologies: Thank you, Corning. Please turn to slide 15. The Materials Technologies team continues to deliver very strong results, with volume growth and cost focus raising margins by over 500 basis points to the highest levels in the 11 quarters we have provided financials. In fact, our operating margins are up 900 basis points over the last 2 years. Our team is working hard to become more independent within our products, and our people continue to be excited about the potential of our strong portfolio of businesses and leading market positions. They are delivering both safety and business results. Segment sales of $540 million were up 3% versus prior year. Underlying sales were up 7% on 4% volume growth and 3% positive price mix, with a partial offset from currency. Electronic sales were up 18% on a constant currency basis, driven by positive volume, price and mix. Processed materials volumes were up on continued high memory demand. As a result of a tighter supply/demand dynamics, we're seeing improved pricing and have signed a number of multi-year supply agreements with our customers that will improve volume and earning stability in the future. Advanced Materials continues to benefit from our materials being used in our customers' newest and most advanced production lines. Delivery systems was about flat versus last year, but we have begun to see the expected slowdown on a sequential basis. Within Delivery Systems, our equipment sales are holding up, but we will see a decline from less installation work as specific customers have completed their fab projects. Although overall Electronics Materials demand remained strong given recent industry communications, we continue to monitor the potential impact of changing macroeconomic drivers on 2016. For our business, it is critical to look at both macro drivers, as well as customer-specific dynamics. We're often asked about the impact of lower PC demand on our business. Over the long term, we see slower PC demand more than offset with higher demand for mobile devices and the significant computing power in many non-computing devices. There are some indications of more moderate growth for 2016, driven by weaker PC demand and softening consumer demand in the mobile space. In the memory market, there has been some reduction in DRAM pricing given higher supply, but volumes have been holding up as customers bring on new capacity. The NAND market remains strong. Performance Materials sales were down 2% on a constant currency basis on lower volumes across our epoxy and additives businesses, driven by softness in construction, coatings, I&I and oil field. We did see sequential volume improvement, but less than the typical seasonal improvement. As Q3 end market demand was softer than expected, especially North America and China, we remained cautious about the outlook for seasonal improvements through 2015. Versus last year, price is flat, but margins have improved given lower raw material cost and cost reduction actions. The lower raw material costs are having some negative impact in terms of inventory revaluation. Given our business profile and supply footprint, currency continues to be a major headwind for this business. Over the last three quarters, we've been able to capture significant volume growth, and several of our businesses are now running their plants at very high utilization rates. Last year, we initiated several investments to expand capacity in both the U.S. and in Asia. These investments will support volume growth for our existing products, as well as growth of the new product in our portfolio. We're excited about a new Performance Materials production facility that is currently under construction in Pasadena, Texas. This investment of over $100 million will support the growth of our Performance Materials portfolio over the coming years. We are also relocating one of our Performance Materials plants in China to our main manufacturing site in Nanjing, where – which will provide an increasing capacity and operating synergies. We've also made several smaller investments to support growth of a number of new product introductions in our Electronics portfolio. As we look into 2016, we are considering several smaller investments to debottleneck plants, add capacity, and support new product growth of our Electronics Materials portfolio. As I shared with you at the Investor Conference, our capital intensity is much lower than gases, and we generate a high level of free cash flow. Our maintenance CapEx is only about 1.5% of sales. However, we do periodically need to make investments to support new product opportunities and the growth of our overall portfolio. Let me make some comments about innovation as it is critical to the success of our Materials Technologies business. We continue to be very excited about our innovation portfolio. Our Electronics Materials portfolio is delivering strong growth from new products during 2015, and we continue to achieve profits of record for new nodes, which will drive future growth. In Performance Materials, our non-emissive technologies continue to achieve strong market penetration across a number of applications. And our additives business is delivering growth from new product introductions across a number of specialty applications. We are confident in the returns we're getting from our technology investment, and we are committed to maintaining the technology leadership in the market segments that we are focused on. EBITDA of $155 million was up 27%, and EBITDA margins of 28.6% was up 540 basis points versus last year. Operating income of $132 million was up 36% and operating margins of 24.4% was up 600 basis points. Volume leverage, positive price and mix, and the cost benefits of our restructuring actions overcame currency headwind and higher incentive compensation cost. As I said, another quarter of great results by the team. We're executing on and remain focused on our key priorities; safety, top line growth, margin enhancement and advancing our strategic initiatives to drive further business improvement. Now, I'll turn the call back over to Simon for a quick comment on our Corporate segment.
Simon R. Moore - Director-Investor Relations: Thanks, Guillermo. Our corporate segment consists of our LNG and helium container businesses, as well as corporate costs, which are not business specific. Sales were up this quarter as we continue to see higher LNG sales more than offsetting lower helium container sales. The LNG projects in our backlog continue with no delays or cancellations. However, we have seen a slowdown in customer decision-making on new projects that will likely impact future results. The improved profitability this quarter was driven by the higher LNG activity. A positive benefit from restructuring actions was offset by higher incentive compensation. Now, I will turn the call back over Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you again, Simon. Now, please turn to slide number 16 for a discussion of our outlook. During the year, on all of our calls, I have said that we are not going to use the weak worldwide economy nor the negative impact of currency translation as an excuse to reduce our guidance that we promised you back in October. So, I'm very pleased to announce that at this time, based on what we know, our guidance for the fourth quarter of fiscal year 2015 is $1.75 to $1.85 per share. At midpoint, this will be an increase of $0.14 or 8% over the previous year, and an increase of $0.15 or 9% over our fiscal year third quarter that we are just talking about. This takes our full year 2015 guidance up to $6.50 to $6.60 per share. At midpoint, this represents a 13% increase over our 2014 results and is $0.13 higher than the target we committed to you back in October. This is despite the fact that we don't see any significant improvement in the worldwide economy, and now expect about $0.35 negative headwind from currency translation. As for capital expenditure in 2015, we expect about $1.7 billion, the same number that we shared with you last quarter. We do continue to enjoy a robust backlog with a high level of secure on-site pipeline projects. Most importantly, we are bringing projects on line that are contributing volume, sales and profit. At the same time, we are bidding and winning new projects in the marketplace. As a result, our backlog of $3.2 billion remains unchanged from last quarter, and you can see a list of our major projects in the Appendix slides. In closing, I would like to say that we are totally focused on actions that we can control to deliver on the commitments that we are making here. We are executing on our improvement program, and our plan and our team is working together to achieve our goals. Once again, I want to commend the Air Products team for outstanding job that they are doing. They are driving significant change in the company and working hard to move Air Products forward to create value for our shareholders and customers. At this time now, we are delighted to answer any of your questions.
Operator: Thank you. And we'll take our first question from Jeff Zekauskas with JPMorgan. And we'll move on to P.J. Juvekar with Citi.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Good morning, Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Hey. Good morning, P.J. How are you today?
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Good. Good. So, you commented that you will realize the first $300 million of cost savings by next year and the remainder over the next four years.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Yes, yes.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): What is the cadence of this cost savings over the next four years and how do this cost savings break down geographically?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: What – first of all, the cost savings would be across the board in all of our businesses, number one. The second thing is that when I say $300 million over four years, that's obviously $75 million a year. That's kind of the variable cascade approximately.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Okay. And you said the geographic spread, is that sort of based on size of business in each region?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Well, I think that – I mean, the area that we can see the biggest amount of improvement is obviously our Latin America operations, but they do have room to improve our results in all of the sectors. I would like Corning to make some more comments on this.
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. Good morning. So, when we allocated out these targets across the regions, we clearly looked at the nature of the business, the nature of the spend, the assets in each area. So, it's not like a flat percentage for everyone. It's appropriate for each business opportunity.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you. And my second question is on Energy-from-Waste. How close are you to getting these plants running and what's your confidence level in the technology? And you talked about divesting these plants in the future. Are you in conversations with your partner there? Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: As far as the construction of the first unit, we are almost done with the construction and we are in the startup. As far as the confidence in the technology, we'll find out. This is one of a kind, first time anybody has built a plant of this size, and we will find out what the technology does, whether it works or it doesn't work. We are in the middle of doing that and I don't really have any significant update for you. As far as being in conversation with anybody, no, we are not in any conversation until we get these plants operating. Because if they are not going to operate, there is no conversation to be had.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you, P.J.
Operator: Well go next to Duffy Fischer with Barclays.
Patrick Duffy Fischer - Barclays Capital, Inc.: Yes. Congratulations on a great quarter, guys.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you very much, Duffy. Appreciate that.
Patrick Duffy Fischer - Barclays Capital, Inc.: I wanted to talk through – your volume seemed to be running better than industry so far. How much of those volumes were new plants coming on line and how much is just you guys doing a better job of selling product in already existing markets?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: I would like Corning to answer that, but we are not after gaining market share. We are after making sure that we serve our current customers, and most of the increase in volumes are from new plants. But I'll let Corning to comment because most of this is in our Industrial Gases business.
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. So, I think if you looked at this regional slice that we have, you could see a large proportion of this is in Asia. And what you're seeing in Asia is the new plants coming on stream pretty much in total, okay? And that's really a large part of the picture here.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: And you would expect that because that is where we have made significant investments, and so we are now getting the benefit of that.
Patrick Duffy Fischer - Barclays Capital, Inc.: Fair enough. And then just to go back to the cost cuts. So, the two buckets of $300 million, one, you said you'll be at $150 million run rate on the first run by the end of this year, the whole $300 million on a run rate by Q2 of next year, then the second $300 million, you talked about getting in four years. Does that four years include this year just completed or that four-year clock starts ticking as we get into 2016?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: It starts as of – when we get into fiscal year 2016.
Patrick Duffy Fischer - Barclays Capital, Inc.: Okay.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: We are working on that but, I mean, that would be the approximate date.
Patrick Duffy Fischer - Barclays Capital, Inc.: Okay. Great. Thank you, guys.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you.
Corning F. Painter - Executive Vice President Industrial Gases: Thanks, Duffy.
Operator: We'll go next is John McNulty with Credit Suisse. Mr. McNulty, please check your mute button. Hearing no response, we'll move on to Don Carson with Susquehanna Financial.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you. Seifi, just wanted to know what turned out better in the quarter than you originally expected? Because I know your original guidance range was $1.58 to $1.60. So, did some of the cost savings occur earlier than expected or was organic growth better in some markets than you thought it might be?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: There were two things. Number one, when we gave our guidance at the end of last quarter, Don, as you know, we have seen really weak month of March and April. And we were very concerned about how the economy will develop, especially in the U.S. Things have turned out better in the U.S. than we thought. The second thing is that our plants in China came on stream sooner than we thought. So, those were the two main reasons. The cost savings are in line with what we expected because we have a very detailed program on that. But the – it was – I mean, we were cautious because of the economy and the plants in China, and those two turned out to be better than we expected.
Don D. Carson - Susquehanna Financial Group LLLP: And then on slide 10, I noticed that your maintenance and growth CapEx was down year-over-year, and Scott talked about the focus on optimizing maintenance capital. So, is the – you've talked in the past, the $250 million to $300 million run rate on maintenance capital. Is the new rates lower given your comments on how you're trying to optimize that level?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: No, no, no, no. Please be careful. We are not trying to optimize maintenance. We are trying to – we will maintain and we are maintaining our facilities. And the number that you are quoting, about $300 million in maintenance, is absolutely correct. The issue is that with maintenance, as you know, it's a lumpy thing depending on when customers shut down plants. So, it is going to go up and down quarter-by-quarter. But order of magnitude, $250 million to $300 million is the maintenance cost for Air Products.
Don D. Carson - Susquehanna Financial Group LLLP: Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Sure. Thanks, Don.
Operator: We'll go next to David Begleiter with Deutsche Bank.
David I. Begleiter - Deutsche Bank Securities, Inc.: Good morning, Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Good morning. How are you?
David I. Begleiter - Deutsche Bank Securities, Inc.: Good. Thank you. Seifi, Material Technologies, excellent results this quarter. Has this quarter and the last quarter changed your view at all as to whether this belongs in the portfolio longer term?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: No. We have always said that we want to focus on Industrial Gases. So, that has been our strategy and it will continue to be our strategy. I'm very pleased with the job that Guillermo and his people are doing, but we still consider that business, at the end of the day, to be non-core.
David I. Begleiter - Deutsche Bank Securities, Inc.: And do you have a timeframe for realizing that as being non-core?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: David, don't – I mean, you know that I can't give you anything like that because we are looking at all of our options, as you know. So...
David I. Begleiter - Deutsche Bank Securities, Inc.: Understood. Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you. Thanks.
Operator: We'll take our next question from Vincent Andrews of Morgan Stanley.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thanks very much, and good morning, everyone. Just looking at slide 20, your backlog, I'm counting six new plants starting up in fiscal year 2016. Do you have any update on sort of the time or the cadence of those through the years or – through the year or how we should be thinking about the earnings impact for 2016?
Corning F. Painter - Executive Vice President Industrial Gases: I'd like Corning to comment on it, but as long – as far as I know, all of them are supposed to come on stream per plant. Corning?
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. Maybe just a little recognition for the team. So, these are large plants. It's been a big effort to get them to completion and get them started up. We talked about we've had one come on in this quarter very smoothly. We expect these plants to come on next year likewise, and kind of what you see in that Appendix, that reflects our latest thinking on it.
Vincent S. Andrews - Morgan Stanley & Co. LLC: I guess, I was just kind of looking for a little bit more detail on are some of them first half, are some of them second half, just in terms of as we look at our models.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: I think it's – when you're looking at your models, I think it would be wise to spread it evenly across the year.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Thanks. And just a follow-up on the – your cash flow statement. There was a big swing for the year-to-date in payables and accrued liabilities. Is that just a function of your reduced head count expense or what's causing that?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Scott will answer that.
Michael Scott Crocco - Senior Vice President and Chief Financial Officer: Yeah. Thanks, Vincent, for that question. So, biggest swing in working capital is being driven by the incentive compensation. So, we call that – that's an expense that is noncash at this point in time. Obviously, when we get to the first quarter of FY 2016, we'll have a payout, but that's a big driver in terms of the improvement in working capital for the quarter.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. Great. Thanks very much.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you.
Operator: We'll go next to Bob Koort with Goldman Sachs.
Ryan L. Berney - Goldman Sachs & Co.: Good morning. This is Ryan Berney on for Bob.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Hi. How are you?
Ryan L. Berney - Goldman Sachs & Co.: Hey. Good. Thanks. So, just had a quick question. Obviously, in this quarter, you saw a nice kind of cash flow expansion at least on a year-over-year basis. And as your CapEx starts to wind down, your earnings wind up. And I'm wondering, as we look out to 2016, we should probably see some more earnings growth. And assuming the CapEx doesn't rise with it, can you give us an update on what your plans are, what your kind of priorities are for the uses of that cash?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Well, I think we – that's an excellent question. I just kind of – it will take a minute to answer that completely. Our – we have always said that we think we will create the greatest amount of value for our shareholders if we take the cash that we generate and invest it in good projects, in organic growth. So, that is our number one priority. And the good news is that there a lot of those projects. So, whatever cash we generate, I think we will have a good use for it to promote organic growth. If for some reason, because of all bad economic conditions and so on, there are no such opportunities, then the next best use of cash is for accretive, good acquisitions. Then, if there are no such thing as that, then the third thing, we think, is to return it to shareholders in form of dividend or share buyback, depending on where the share price is. So, that would be our priority as we generate cash. But the main thing is our issue has been we've been generating cash. Now that we are generating cash, we have those options. There is one other thing that I'll mention – I would like to mention and we have said this before, we are very focused on making sure that we maintain our A rating. So – we always need to make sure that we have enough cash to maintain the A rating that we have. We don't want to lose that. Therefore, that means we are not going to go on do what I don't think makes sense, is borrow many and buy shares in order to prop up the share price. Okay?
Ryan L. Berney - Goldman Sachs & Co.: Understood. Thanks. That's really helpful. And if you can, could you also provide – as you're looking out for the best growth projects, as you're looking to build your pipeline, is there a specific region or a specific end market that is particularly attractive to you based on what you're seeing right now?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Yes. Obviously, right now, there is significant amount of opportunities in the U.S. Gulf Coast because of all of the chemical projects that are under consideration. There are significant opportunities around the world for hydrogen. We are the leader in hydrogen, and as a result of that, that creates a lot of opportunities for us. So, the opportunities are worldwide, but obviously and proportionally, there are more opportunities in the U.S. And we are very well positioned in the U.S., and we think that we will get our fair share of the market.
Ryan L. Berney - Goldman Sachs & Co.: Great. Thank you very much.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you.
Operator: We'll go next to David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co., Inc. (Broker): Hi. Good morning, Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Good morning.
David J. Manthey - Robert W. Baird & Co., Inc. (Broker): First off, wondering about your decision to increase the ownership position in Indura. I think it was a year ago, you had mentioned that the purchase price assumptions were incorrect in some way. And I'm wondering, based on the predetermined price, can you talk about how you got comfortable with the valuation parameters this time around and just the strategic intent of increasing your ownership there?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Well, I'm very happy that you asked the question. We did not decide to buy the shares. I wouldn't have bought the shares. The – as part of the original agreement, the sellers had a put option on Air Products. And obviously, it was a good price, though they put it to us. We had no choice. If we had the choice, we wouldn't have bought it at the price. We would have liked to – but it was a put option, so they put it to us, they have to live by the contract that was negotiated at the time the purchase price was done. So, the good news is that now, at least, we are in full control, and we can do what we need in improving that business. But it wasn't as if we sat down and decided that, gee, this is a great thing to do.
David J. Manthey - Robert W. Baird & Co., Inc. (Broker): Okay. And second, your new board member is experienced, seems very deep in M&A. Is there any information content there as it relates to your pace of mergers, acquisitions, divestitures going forward or is that just, like you said, filling a gap that you might have had?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: It is just filling a gap. I think it's the second thing that you said. We just look at the board, and a board of any company is supposed to be a collection of people with different skills, and this was an area where we didn't have the skill, and I think it was – we are very fortunate that Mr. Cogut has agreed to serve on our board. He's – we all have a great deal of respect for him. He is very well-known, and I think he will be a very good addition to our board.
David J. Manthey - Robert W. Baird & Co., Inc. (Broker): Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you.
Operator: And we'll go next to John Roberts with UBS.
John E. Roberts - UBS Securities LLC: Thank you. Back to the Indura deal, the original deal was $884 million for 67%, and now, you're paying $278 million for 30.5%. So, if you just scaled on the ownership, it's about a 30% lower price for the same percent of ownership. Is Indura down more than 30%? Is that your comment there about you wouldn't have bought it? It seems like a materially lower price for this similar amount of ownership.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: It's just pure luck because it's currency, because the deal was in Chilean pesos.
John E. Roberts - UBS Securities LLC: Okay. Got it.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: And as a result, the value in terms of dollars has gone down.
John E. Roberts - UBS Securities LLC: And then, Corning, on the volumes in China, the remaining big plants come up in phases. I assume once you're fully ramped, you'll be more subject to the macros there. How much longer before you're fully ramped in China? We have more than four quarters left of ramping to go on there or does it extend even beyond that?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Well – Corning will answer that? Go ahead.
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. So, I think, to some degree, the answer to your question is in that table. So, you can look at when the plants come on. As those come on, each one of them represents a step change from that. There's the potential that we would identify additional attractive investments between now and then, but I think that's sort of your roadmap.
John E. Roberts - UBS Securities LLC: Okay. The ones that come up in phases, are they relatively linear? See, you've got some asterisks in that table.
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. So, I think you would expect, as Seifi said earlier, that you're just going to see this spread out over the course of the next fiscal year.
John E. Roberts - UBS Securities LLC: Okay. Thank you.
Operator: We'll go next to Laurence Alexander with Jefferies.
Daniel Rizzo - Jefferies LLC: Hi. This is Dan Rizzo on Laurence. Just one quick question on Materials Technologies. You said in Performance Materials, you're seeing some softness in construction and in oilfield. Well, oilfield is obviously known. I was just wondering where you're seeing the weakness in construction. Is there is a specific region or just a specific area? Just a little color on that.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Yeah. Guillermo will answer that.
Guillermo Novo - Executive Vice President Materials Technologies: Yeah. A lot of our business – we're more on the industrial and protective coatings and floorings. So, it's more of the non-residential construction, and we're seeing most of that in the U.S., some softness versus our expectations, and in Asia, mostly around China.
Daniel Rizzo - Jefferies LLC: All right. Thank you.
Operator: We'll go next to Jim Sheehan with SunTrust.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thanks for taking my question and congratulations again on an excellent quarter, Seifi.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you very much. You're very kind. Thanks.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. On the backlog, $3.2 billion, a pretty solid figure here. I'm just wondering if you could give your outlook for the second half of the calendar year. Would you expect that to move up or down? And how would you characterize the bidding activity there? Is it getting more competitive in your view?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: I don't want to comment on the competitiveness because that's not appropriate. But in terms of the backlog changing, I think some projects will come on stream, they go off backlog, and hopefully, we'll win some projects and we will add it. So, I would not see a material change.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Okay. Great. And then on the Americas, your pricing was up. I'm just wondering if you could break that out a little bit between Latin America and the U.S. Was pricing up more in Brazil or could you comment specifically on how your pricing is in the U.S.?
Corning F. Painter - Executive Vice President Industrial Gases: Right. Excellent question. So, you can imagine in the high-inflation regions, it is much easier to drive pricing, and really essential to drive pricing. So, in places like Brazil right now, prices are up quite significantly. In the U.S., we have a situation where we have a number of contracts that are under a formula. And as those input numbers, input costs, go down, that becomes a net drag on pricing. Of course, our input cost that we actually experience come down at the same time. So, it's not really compressing margin, as you might think about pricing. That's just reflecting the natural ebb and flow of an index. So, definitely, in our space, there's certainly a higher percentage increase in Latin America.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you
Operator: We'll go next to Mike Harrison with Global Hunter Securities.
Michael J. Harrison - Global Hunter Securities LLC: Hi. Good morning.
Corning F. Painter - Executive Vice President Industrial Gases: Good morning, Mike.
Michael J. Harrison - Global Hunter Securities LLC: Corning, I was wondering if you could walk through what your LOX/LIN utilization look like by region. And in the case of any improvement, is that improvement just volume related or are there any capacity reductions going on?
Corning F. Painter - Executive Vice President Industrial Gases: So, for the most part, our position right now is, let's say we're in the 70%s on a global basis. So, a little bit higher in the U.S. and Canada, a little bit lower in Latin America. The movement there or let's say the trend line going up is really just going with underlying volumes at this point. Not really significant capacity coming out of the system at this point. And I would say, in general, if you look at it, so LOX/LIN/LAR up in North America, up a bit in Europe as well. I think it reflects just an overall thing that's happening here in Air Products. I mean, this is a company that's going through a huge transformation. Think about where we were a year ago. Think about that graph we saw earlier about our EBITDA trend. I mean, we've been through a big change. And I think it reflects overall, that people are energized by what's happening, and our teams are out there and they're pushing the sales, they're interacting with our customers, and I think we've got some momentum from that. And that's going to slowly impact our overall loading. But it's hard to beat, of course, the global economic environment.
Michael J. Harrison - Global Hunter Securities LLC: All right. And then a question on the hydrogen business. You've talked in the past about the earnings impact of lower natural gas prices in hydrogen. Have you taken any steps over the last year or two years to modify some of your contracts, so that you're a little bit more insulated from the earnings impact of lower natural gas prices, or is it still the case that you keep whatever efficiencies you can generate, and that means fewer dollars at lower natural gas prices?
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. As you can imagine, these are long-term contracts tied to big assets. And it's not super easy to go ahead and modify them. As well as if you think about what we're really interested in at the end of the day is earnings, is profit, okay? And so, there's not a lot to be gained in heavily trying to reengineer that in terms of your face time with the customer. That might change a ratio for us, but it's not going to really change EPS for us, let's say that. So, we're very focused on the things that most drive value for ourselves and for our shareholders, and really not so much an effort trying to reengineer or re-jig the current contracts.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Mike, I think that during the call, I think Scott mentioned that the effect of the lower prices on profitability was minimal.
Michael J. Harrison - Global Hunter Securities LLC: Right. Thank you very much.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: It affects our sales quite a bit, but the effect on profitability was not that huge.
Michael J. Harrison - Global Hunter Securities LLC: Okay. Thank you.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Thank you very much, Mike.
Simon R. Moore - Director-Investor Relations: One more question.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: One more question, please.
Operator: Okay. We'll take our final question from Nils Wallin with CLSA.
Nils-Bertil Wallin - CLSA Americas LLC: Yes. Good morning, and thanks for taking my question. With respect to your – the new plant that comes that's in the backlog for Korea, would you help us understand what it was that allowed you to get this plant? And then, if you would maybe qualitatively or quantitatively help us understand the type of returns you're looking at that plant versus returns you had in the past.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: I'll answer the return question. You know that we are not going to take any project less than 10% return. So, the return was higher than that. But in terms of the – we are under constraints from our customer about how much we can talk about it but I'd like Corning to make some comments.
Corning F. Painter - Executive Vice President Industrial Gases: Yeah. So, this is a reflection of having a product line approach. We've – we know the electronics industry, the semiconductor industry very well. We built a standard set of plants that are geared to deriving or delivering the nitrogen, adjust the pressures and purities these guys need, and I think it just reflects the ability to take that (01:03:32) and replicate it. These are plants that we've built before in other locations, and in some cases, for those very same customer, and we'll now be doing it for them in this location. I think it's the power of – when we talk about focusing on the core, this is an example of that. Focusing on an area of strength and continuing to grow from strength to strength.
Nils-Bertil Wallin - CLSA Americas LLC: Understood. Understood. Thank you. And then just a follow-up with respect to your cost reductions and efficiency programs. Obviously, you put all these together when the economy maybe was not so dire, or the outlook wasn't so dire, and things have slowed down in other parts of the world. So, once you're finished with the $600 million or so reduction in efficiency gains, do you expect there to be other opportunities given where the economy is now?
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: We are committed to continuous improvement. So, once we get this extended in the next four years, then we will start thinking about how we can make our operations even better. So, we are totally committed to that. Okay?
Nils-Bertil Wallin - CLSA Americas LLC: Thank you very much.
Seifollah Ghasemi - Chairman, President and Chief Executive Officer: Okay. At this time, I would like to take a second once more and thank everybody on the call. We appreciate your interest. And we look forward to talking to you in three months. Have a great day. Thank you again.
Operator: Again, that does conclude today's presentation. We thank you for your participation.